Operator: Thank you for dialing in and welcome to TORM's Conference Call regarding the Results for the Second Quarter and the First Half Year of 2019. I would now like to hand the conference over to Morten Agdrup, Head of Corporate Finance and Strategy in TORM. Thank you. Please go ahead.
Morten Agdrup: Thank you. And thank you for dialing in, and welcome to TORM's conference call with R&D results for the second quarter and first half year of 2019. My name is Morten Agdrup and I'm the Head of Corporate Finance and Strategy in TORM. As usual, we will refer to the slides as we speak, and at the end of the presentation, we will open up for questions. Slide 2, please. Before commencing, I would like to draw your attention to our Safe Harbor statement. Slide 3, please. With me today is Executive Director, Jacob Meldgaard; and he will be hosting the call. Slide 4, please.
Jacob Meldgaard: Thank you, Morten, and good afternoon to all. TORM's second quarter 2019 results reflect our strong commercial performance despite the softer market conditions related to short-term factors, as well as the benefits we derived from our fully integrated in-house platform and the cost efficiencies that result in our low daily cash breakeven loans [ph].We remain excited about the developments that we expect to begin to unfold over the coming months and I will describe this in much more detail later in the presentation. But first, let me summarize our results. In the second quarter of 2019, we realized a positive EBITDA of $40.6 million and a positive profit before tax of $5.2 million, which is about $0.07 per share. The return on invested capital was positive at 3.9%. In total, for the first half of 2019, we realized a profit before tax of $28.7 million, equivalent to $0.38 per share. This is the strongest half year result in the past 3 years. We're really pleased that we are able to generate a profit also in the second quarter of the year which has been negatively impacted by -- there was an unusual high and prolonged refinery maintenance period. Our estimated net asset value was $897 million as of end of the quarter, and later in the presentation, I'll take you through a detailed breakdown of this particular metric. Illustrating our continued focus on maintaining a solid balance sheet, the net loan-to-value was 51% at the end of the quarter. Our available liquidity was $367 million, which excludes the $99 million in proceeds which we will get from six recently concluded sale leaseback agreements. The realized TCE rate was US$15,405 per day here in the second quarter, and while second quarter rate was softer than what we experienced in the first quarter due to factors I'll describe shortly, rate was still well above the levels we saw last year and this does bode well for the balance of the year and beyond. In the second quarter of the year, we've taken several steps to modernize our fleet and prepare for the new IMO 2020 regulation. We've purchased for 2011 [indiscernible] for our toll consideration of $83 million which these vessels are expected to be delivered actually more less as we speak here later in August and we are going to be financing this through a $66 million sale leaseback transaction. We also sold older vessels 199-build MR [ph] which was sold and delivered during the second quarter and then two additional vessels subsequent to end of the quarter which is a 2002-build MR and a 2004-build handy vessel, a total conservation of $22 million is what we're getting from this and we will repay an aggregate debt of $13 million in connection with these vessel transactions. Supporting the already strong capital structure we had we've entered into an additional two sale leaseback agreements here in the second quarter, and here the toll proceeds will be $52 million and we will be repaying $18 million in debt concurrent with those two transactions. In turn, our preparation for the 2020 regulation are proceeding as we have planned. We are pursuing a balanced approach, which at the end it will result in 34 vessels in our fleet close to half of what we have been fitted with scrubbers. Of these 28 of the scrubbers will be delivered from our joint venture, maybe production in China. We have today installed six scrubbers and expect that a total of 28 out of our currently scheduled provocation will be finalized before the end of the year. The remaining six will be delivered next year that consists of three new buildings and then three retrofit installations, all expected to be taking place during the first quarter of 2020. Slide 5, please. So, now, let's look at the product tanker market specifically here in the second quarter, our product tanker fleet realized an average TCE earning, which was at $15,405 per day. In the LR segment, TORM achieved LR2 rates of $17,894 per day and LR1 rates were at $14,582 per day. In our largest segment, the MRs, we achieved rates of $15,163 per day. And finally, in the handy size segment, the achieve rates were $2,882 per day. In general, the product tanker freight rates softened here in the second quarter. As already mentioned, it was primarily due to seasonal refinery maintenance. And this year, it has been not only higher than what we've seen in recent years, but it also will prolong. It'll last simply longer and this was coupled with several unplanned outages that further reduced capacity. In Asia, in particular, the maintenance was almost 50% higher than during the same quarter last year. And this obviously limited the East-West cargo movements. And at the same time, net flows from west to east declined, in this case, more due to petrochemical refinery, maintenance and competition from cheaper LNG available in Asia. Turning to the U.S., there were a series of unplanned outages also there occurred at several gasoline producing units, which supported transatlantic and Trans-Pacific gasoline flows. The former was interrupted for period by crude oil contamination in the Truspot [ph] pipeline in Russia that disrupted the work at a number of Eastern and Central European refiners. Towards the end of the quarter, I think as we all know, there was a fire and a subsequent closure of one of the largest refiners on the U.S., East Coast, which again at that time opened up for the transatlantic gas trade. In the East, as already mentioned, the heavy refinery maintenance limited the long haul diesel flows back to the west. This was worsened by a continued market cannibalization from our peers in the crew tanker market where new buildings actually transported about 30% of the East-West gasoil volumes during the quarter. So far, in the third quarter, the closure of the Philadelphia energy solutions refinery continues to support transatlantic gasoline flows, while the east to west these flows have remained low due to a reduction in refinery runs and also unplanned outages in general east of Suisse. So, however, here we do see refinery maintenance starting to retreat significantly, which we expect to have a positive effect on trade flows. An effect that we are starting already to see in the Middle-East market after recent return of a number of the export oriented refiners, both in the East but also in India. And then as an overlay of this, we expect preparations to MRs 2020 that it's going to give an additional boost to this trade as paga [ph] suppliers will start building inventories of combined fuels in the coming months. Slide 6 please. As already mentioned, spring refine and maintenance out this year have been heavy as influences dissipated. For the first six months of 2019, the maintenance and unplanned outages have been 20%, approximately higher than in 2018. And also, maintenance has been prolonged this year, with offline capacity peaking first in May instead of traditional in the March April period. So the heavy refinery maintenance indicates the refiners are preparing, as one would expect for the upcoming IMO 2020 regulation. The higher maintenance here in the first six months, is expected to be offset by lower outages in the second part of the year supporting the production and transportation of refined oil products. Slide 7, please. When we look over medium to longer-term, we continue to expect the structural dislocation between product demand and refinery centers to add 10 miles to product tankers, as more refined parts will be produced and exported from the Middle-East to the rest of the world. Over the coming years, the expansion in the region is expected to be significantly higher than in the previous three years and more comparable to the level we experienced back in 2015. Here, you can point to facilities such as the new Saudi Aramco refinery Jazan and KNPC's new refinery Al Zour which will come online. We expect that this will reinforce the role of the Middle-East as a key clean product export. And this will in turn contribute positively to the product tanker ton-mile demand over the coming years. Slide 8, please. Another positive driver on the market obviously remains the IMO 2020 and the corresponding increasing demand for product tankers. We continue to expect that a considered part of the new compliant fuel will be diesel based or based on plans containing diesel. We currently expect an incremental diesel demand of about one 1.1 million barrels per day from the IMO 2020 implementation implying an increase of around 5% in the product tanker trade in 2020 based on ton-mile. This increase will obviously depend on the refining industry's ability to shift into very low sulphur fuel production also known as PLSFO. Similarly, crude tankers are expected to gain from the IMO 2022 to increase refinery runs, and the need to store excess high sulfur fuel. I'm quite convinced that these demand effects of the 2020 sulfur regulation combined with our own strategic steps ahead of the implementation date here on the first of January will prove beneficial for TORM for a number of years to come. Slide 9, please. So, let's look more elaborately on the demand effects of IMO 2020. Stricter sulphur rules mean that the shipping industry would need to use additional marine gasoil with a type of fuel that belongs to the family of diesel. While the demand from marine gasoil are more generally diesel will increase in all world regions, flexibility to increase diesel production is much higher in regions that are already net exporter of diesel today. As an example, considerable volume of new refining capacity comes online in the Middle-East and Asia. Russia is producing more diesel as part of its refinery operating program and the complex U.S. Gulf refiners are expected to process more high sulfur fuel that becomes cheaper after 2020 and they will use it to put use extra diesel. At the same time, the main importing regions, the ones that produce too little diesel, do not see any new refiners coming online in the next two years. So therefore, their ability to respond to increased demand due to IMO 2020 is limited to the changes they can make in the refinery utilization and product use. This suggests that on top of the trade flows we are seeing today even more diesel will be flowing from export regions to import regions due to IMO 2020. And the majority of the incremental 5% rate growth that I mentioned, will stem from long haul trade and intra-Asian medium haul trade. But on top of that, we also expect to see more of the short haul regional trade for redistribution of compliant fuels. Slide 20, please. As already mentioned, our scrubber installation program is well underway. We currently have six scrubber filled vessels in operation, including four new buildings that were delivered with scrubbers installed. With respect to the remaining vessels in our feet, that will be using compliant fuels, we began to implement our IMO 2020 plan. This includes a timeline for changing bunkers on board each individual vessel. Bunker planning and replenishment of bunkers will be a gradual process and be timed around individual vessel voyages during the fourth quarter. We expect that other owners will follow a similar approach gradually increasing demand for compliant fuels starting towards the end of the third quarter and accelerated into and during the fourth quarter. Ahead of this increase in demand, we expect global pores to begin stocking up on compliant fuels continuing to build inventory through the end of the year. This should park demand for product tanker to transport the compliant fuels to bunker suppliers and may be the catalyst of many market participants and observers are waiting for. We believe it is forthcoming in the marketplace. Slide 11, please. Now, we turn to the supply side effects of the market. And here the product tank order book to fleet ratio stands at about 7.4%. This is a historically low level, we estimate that the product tanker fleet will be growing by about 4.3% this year, but lower deliveries over the coming two years will result in an average fleet growth of about 3.2% per year over the period 2019 through 2021. This is down to around half from an average of about 5.8% during the previous three years. It's also important I think to mention here that the actual fee growth in 2019 might come in at a somewhat lower level as a number of vessel will be removed temporarily from the market in relation to the scrubber retrofitting and tank cleaning. This could potentially remove about 0.5%, 0.4% to 0.5% of the fleet capacity. The slowing fleet growth rate is a key point to the fundamental positive element that we expect for the product tanker industry as a whole. Slide 12 please. To conclude my remarks on the product tanker market, TORM has a generally positive outlook. And for the 2019 through 2021 period, product tanker market demand is estimated to grow at a compound annual rate of around 5% compared to an estimated net growth in China's supply of around 3%. So the product tanker market is impacted by the key economic indicators such as the online oil demand and the general state of the economy. And here, we have clearly seen some weakness recently. But the segment specific factors I've discussed are expected to impact the market positively going forward, and to be a more significant contributor to the market development than the underlying world economy. In particular, IMO 2020 is an exciting development for the market and that will certainly bring about both expected and unexpected outcomes. Slide 13 please. In TORM's largest segment, the MR will continue to obtain very competitive fleet rates. And I'm pleased that our results are at the top of our peer group again this quarter. In fact, if we look back to 2015, we've since then outperformed the peer group in average 17 out of 18 times, and this translate into additional earning power of more than $110 million over the period. If we look at second quarter of '19 alone is an outperformance of $8 million. In general, is very satisfactory that operational platform delivers the competitive TCE earning, and that we're well positioned to take advantage of the already mentioned promising supply demand fundamentals. Slide 14 please. Before I review the OpEx and other expenses, I'd like to remind you of TORM's operating model. We have a fully integrated commercial and technical platform, including all support functions, such as an internal tailored purchase team, which we believe is a significant competitive advantage for TORM. Importantly, it also provides a transparent cost structure for all our shareholders and it eliminates related party transactions. Naturally, we are focused on maintaining efficient operations and providing a high quality of service to our customers. Despite this trade off, we've seen gradual decreases of 15% in our OpEx per day over the last five years. OpEx was approximately $6,500 per day for the first six months of 2019 which we can see is competitive in light of our fleet competition. We also remain discipline respect to SG&A although this can be expected to fluctuate a bit based on the size of our feet. We believe that our profit before tax breakeven rate of $14,500 per day achieved in the first half of 2019 reflects the efficiency of the one ton platform and is highly competitive as compared to other owners in our segment. Slide 15, please. With our spot based profile, TORM has significant levels to increases in the underlying product tanker rates. As of end of the second quarter '19 every $1,000 increase in the average daily TCE rate achieved translate to an increase in EBITDA of around $11.9 million in 2019, the corresponding bigger increase to $28.9 million in 2020 and to $30.1 million for 2021. We have a positive long-term view, as already mentioned, on the market and we believe that we are well positioned to generate significant cash flows. As of the 12 of August, here we had over 60% of our third quarter earnings days and an average TCE rate of $13,636 per day and say 1% of the total earned days for the rest of 2019 were covered at $13,738 per day. Slide 16 please. As of 30 June 2019, we had available liquidity of $367 million, excluding the proceeds from the sale of the spread transactions. Cash totaled $106.4 million, and we had ongoing credit facilities of $260 million, including the $99 million from the six days lease based transactions, the pro forma available liquidity was at $466 million. Our total CapEx commitments were $304 million of which we expect to pay around $223 million this year. The remainder will fall due in 2020. The large majority of our commitments relates to our remaining six high specification new buildings. That all includes for isolation but we will also pay about $32.5 million in 2019 and 2020 for retrofit scrubber installations and vessels that are always on the water and we will be paying $74 million for the four already mentioned secondhand versus that we acquire during this month. With our -- again, strong liquidity profile, the carriers commitments are fully funded and very manageable. Slide 17 please. Finally, here, I want to sum up our financial position in terms of key metrics such as the net asset value loan to value. Vessel values have increased by approximately 5% during the second quarter, and the value of TORM's vessels were $1.736 billion U.S. dollars as of 30 June 2019, including new buildings and the recently purchased secondhand vessels. The outstanding gross debt amounted to $720 million as of 30 June and our debt facilities mature in 2019 or 2020. Finally, we have outstanding committed CapEx of $271.4 million related to a new billing program and the purchase for secondhand vessels, in addition to cash off-hand from $6.4 million. These unsolved cases are net loan to value of 51% at the end of the quarter, which we consider as a relatively conservative level. The net asset value is estimated at $897 million at the end of the quarter, this corresponds to $12.1 per share or equivalent to Kr79.8. Just before we commenced this call, our share were trading at Kr50 or $7.4 per share, obviously, a considerable discount to the net asset value. In short, we have balance sheet that still provides us with strategic and financial flexibility. With that, I'll let the operator open up for questions, please.
Operator: Thank you, sir. [Operator Instructions] Your first question from the telephone lines comes from John Chappell of Evercore. Please ask your question.
Jonathan Chappell: Thank you. Good afternoon, Jacob. So, you laid out a -- if you read the product tanker market review in your presentation and listen to your commentary, it seems like it was kind of the worst of all worlds and you were still able to remain profitable during a very difficult period. And then you highlighted how you expect things to improve in the second half of the year, which arguably should put you in a stronger position. But we think about kind of the risks, let's call them in the near to medium term, where do you think the optimistic view that we all share can go wrong? And when do you start to get worried if you haven't seen a significant and consistent uplift in the product tanker market? Is it you know, by the end of the third quarter, well into the fourth quarter or even need to see the beginning of 2020 before you start to get concerned that maybe IMO 2020, is it having a favorable impact on the market?
Jacob Meldgaard: Okay, that's good questions. And I guess you kind of gave -- with your two questions, you gave the answer to number one. Because obviously, the one worry would be that the IMO 2020 is just something that we are made up as a combined industry to sort of be positive about the future and that is not -- and it would not play out the way that we expected. And that will be a significant risk. So if I take that risk, then the other risk would be the -- I think the geopolitical environment. And there is quite a lot of things going around there would have a negative effect on consumers on decision makers in general and that you would have an abrupt halt to albeit the slower growth, personal growth in the world economy, but that you would simply see a recession worldwide due to geopolitical factors. I think those would be the two things that you could see scenarios, which would be negative, and which would change our outlook. And if I take the second one, I've not more control than anybody else. Obviously, the geopolitical environment seems to be changing by tweet. So I don't think we should try to get into that too much. My personal thing is that there is a little more reluctant to just believe that this is just going to go away today than then what was the case six months ago. I do see a commentary now from people who are much closer to this than why and where that may be the trade dialogue between U.S. and China would potentially continue all the way up to and including election next year. So I guess that my instinct is that this is something that is still evolving. And I don't think that it is negative in a direct fashion for the product tanker market because trade flows between U.S. and China are very marginal, and they would probably just be taken out by other refiners or trade patterns in this -- between the same areas. So, it is much more the secondary effect of the global economy and decision makers and consumers would have a break on hot stop to the current spending. Now, the IMO 2020, I guess, we are more close to whether that is going to play out the way that we expect or not. And there, I'm still, I would say even more convinced today than six months ago, I think that actually the refinery maintenance that we have seen if we take it refiner by refiner during the first and the second quarter here into the third quarter, there has been longer refinery outages. It has been, in general, more refiners taking out capacity at this point in time in order to prepare for the IMO 2020. And everything else being equal, this will be [Technical Difficulty] that they're going to come back on stream, they're going to be producing and we're going to be transporting part of this value, sort of part of those volumes and creating value for the product tanker market in general because you have additional demand coming in the coming period. And has been playing up. And clearly, freight rates have softened during that period, we can see that in our numbers, we follow weekly, you follow it and it's very clear that that's the way it paid up. But for it's not even down to where we were 12 months ago. It's stronger rates. And I expect that this is the bottom end of the market. The exact timing, I'm not so nervous about because the thesis itself is intact. So to your second question about when would you start, well, I obviously, at some point you would need to see that it happens. But whether it is accurately called that it's going to be in September, October, November, I'm not fuzzy around that. We're patient. I've been in this industry 29 years, so I have time to wait to a couple of months more.
Jonathan Chappell: Okay, very thoughtful answer. Two follow-ups then on that theme, kind of thinking about the way the terms position for the optimistic outlook, the transaction, the second hand MRs and the structure into that to the sound leasebacks and I think that makes sense as an efficient way to add leverage to the market without straining the balance sheet. But then the two sale leasebacks after of existing vessels; I mean, we've kind of become -- the same leaseback structure has seemed a bit more like a defensive structure of later in the down period of the market. But given your current liquidity situation and your view on the market, kind of the near-term to medium-term, can you explain why you chose to do the sale leaseback route on some existing vessels? And should we expect to see more of those in the future or is that somewhat of a one off transaction?
Jacob Meldgaard: Yes, thanks for that. So, I think it's good to, as you pointed -- in our presentation is two bullets. Is one with the four vessels that we have bought second hand and one for the two existing vessels? And for the vessels we bought, it was a strategic choice to choose one particular lender who has a big capacity and where we by having into now into one deal with four vessels we feel that we strategically have opened up potentially if we at some stage would have the ambition to extend our presence even further that we've now established a relationship with somebody who can write big tickets in an environment where lending in general is constraint. So that was a strategic thinking around that, that it's sort of faded well. The strategic thinking around the two other vessels is our existing vessels that are already in our structure and where we have traditional bank debt associated with it. Here, what we saw was that we could actually lower our cost. On one of these transaction, we could lower our costs by transferring from bank debt into a lease structure. This is with Japanese counterparts where we seem to see that they are more competitive. And there was -- so this was a cost issue, that we actually don't use it as a defensive tool the way you describe it, but rather something where we say okay, if you are there to transact this type of structure on those terms, then we are lowering our cost and we will do that.
Jonathan Chappell: Okay, that makes sense. Final one, dividends. So, I mean, you've had a pretty clear strategy, and it seems maybe you've taken a step away from it this quarter. I mean, we look at a pretty difficult market, not as bad as last year obviously, but the best first half and three years, $0.42 earnings across the six month period, the formula should have resulted in some dividend. And I know you explained it a little bit in the presentation, but it seems like with the return of profitability with the optimistic view, with the spare liquidity, and with the stock trading at a massive discount to your estimated NAV, can you just explain a little bit more of the step away from the dividend policy?
Jacob Meldgaard: Yes, absolutely. So that's a good point. And we are part two, we have a distribution policy, where we semiannually evaluate to be paying out 25% to 50% of net profit in the company. And we've clearly said that strategically that is our goal to do that. However, we also have in the same paragraph, but obviously, is that we all at any given time Look at what is the best interest of the company in terms of strategic implementation of sort of our financing of our activities. And here, we had the discussion with the Board, actually yesterday, where we sort of said we can -- obviously, we can follow through on the 25% to 50% of this given time. However, as we see it, we still have some opportunities right now in the coming -- let's say in the coming period where this cash will be better served to stay inside of the company where it could be modernization of the fleet, it could be further scrubber installations where we [indiscernible] still a compelling potential investment for all stakeholders. And it's probably given that the magnitude of dividend here was -- let's say approximately, let's call it $10 million; then obviously that would account to that you could add another handful of vessels with scrubbers potentially. So we're creating that option alternative [ph] for us without again constraining our current strong financial position. So that's what we're thinking.
Jonathan Chappell: All right, I appreciate all of it. Thanks for the thorough answers Jacob.
Jacob Meldgaard: Thank you.
Operator: Thank you. We do have one further question from the line of [indiscernible]. Please ask your question.
Unidentified Analyst: Good afternoon. I'm looking at Page 20 on your slide deck which is going to laying out the bunker market in '17 and '20, and the $1.1 million of these annexures is probably a consensus view by now. And then, there is a similar amount of this -- the VLS04's and additional vessels [ph]. I guess my first question is, you know, some of these new products -- products will they move on clean tankers? Potentially, before being blended or is it -- all of that is going to be mainly a crude trade?
Jacob Meldgaard: Yes, thanks for that. So as you point to; in the case where the blend consists of gas oil, there you will have it. And -- so, if the components are also D2 based going in through the new complaint fuels, then it will be clean product tankers that would be distributing it. So it depends on how the blending formula is on the side of the producer. But the components will be transported on clean petroleum vessels.
Unidentified Analyst: Okay. And then, I think some ship owners now are opening a bit up in terms of how their bunker consumption split will be next year. So we're bit curious to hear for you between the HFO and the scrub ship, the DSO and [ph] VLSFO -- I mean, how much are you planning on each of those? And have you taken any actions to secure volumes and price ahead of this already?
Jacob Meldgaard: In the tramp [ph] business I would argue that we can of course have ambitions around what we expect but we really don't know the exact trade pattern that our fleet will have but based on the experience we have of our historical trade pattern, and then overlay with dialogue that we have with the bunker suppliers; we expect that something 80% to 90% of the compliance use able to say would be VLSFO and then the balance would be that we end up in plot or areas where we cannot get a sufficient of the VLSFO, and where we will then be using distills [ph] or the fuel types. I think it's more suitable for asset container vessels with a very regular trade pattern. There I think if I were -- if I think myself into the management of their, I would be structurally looking at getting supply contracts in place whereas for tramp [ph] companies I think it is not the most logical thing to do.
Unidentified Analyst: All right. And I guess, finally, you mentioned the naphtha trade's coming in bit under pressure in the second quarter, you know, competition from the LPG side. I guess, the amount of U.S. LPGs -- they are not looking to slow anytime soon, and I guess with all these light shale oil in the market as well, the amount of naphtha coming out of refineries in the east is probably not going to slow down either but then slippering a lid on margins similar to what we've seen in the last couple of months. So I guess the question is, now for you how important is the naphtha trade?
Jacob Meldgaard: So, I agree. One, with sort of your general statement that what we've experienced -- let's say with last quarter does seem to be not an out-layer but it could that that is something that is here to stay that you have more competition from LPG into the petrochemical industry and also that locally in Asia, for instance, some of the refineries are coming on-stream in China would be supplying more of the local need. The -- for us, I think it's less than 10% of the naphtha trade, if you take ton-mile for larger vessels, then it's less than 10% of the current naphtha that is reaching for instance in the western hemisphere when you look at it, ton-mile I think is about 7%. So we're going to say there is a risk but all for not for TORM specifically, but for the larger segment in the product space that some of this op off -- with to east; naphtha could come under pressure, and it's about 7% on a global basis is our estimate.
Unidentified Analyst: Okay, interesting. Thank you very much, Jacob.
Jacob Meldgaard: Thanks for the questions.
Operator: Thank you. There are no further questions, Sir. Please, continue.
Jacob Meldgaard: So this concludes the earnings call of the second quarter and half year results. Thank you for dialing in.
Operator: Thank you, ladies and gentlemen. That does conclude our conference for today. Thank you all for participating. You may now disconnect.